Operator: Good morning and thank you for standing by. Welcome to International Paper's Fourth Quarter 2024 Earnings Call. [Operator Instructions] And it is now my pleasure to turn the call over to Jose Maria Rodriguez Meis, Vice President, Investor Relations. Sir, the floor is yours.
Jose Maria Rodriguez Meis : Thank you, Krista. Good morning and good afternoon, and thank you for joining International Paper's Fourth Quarter and Full Year 2024 Earnings Call. Our speakers this morning are Andy Silvernail, Chairman and Chief Executive Officer; and stepping in today for our Chief Financial Officer, Tim Nicholls, who is in London for DS Smith day 1, is Finance Vice President, Mark Nellessen. There is important information at the beginning of our presentation, including certain legal disclaimers. For example, during this call, we will make forward-looking statements that are subject to risks and uncertainties. These and other factors that could cause or contribute to actual results differing materially from such forward-looking statements can be found in our press releases and reports filed with the U.S. Securities and Exchange Commission. We will also present certain non-U.S. GAAP financial information. A reconciliation of those figures to U.S. GAAP financial measures is available on our website. Our website also contains copies of the fourth quarter and full year earnings press release and today's presentation slides. And finally, I would like to note that all financial materials in this presentation reflect only the current IP portfolio. I will now turn the call over to Andy.
Andrew Silvernail: Thank you, Jose, and congratulations on your new role as Vice President of Investor Relations. And congratulations to Mark Nellessen, who's moving from IR to the lead finance role in our North American packaging solutions business. And Mark, thanks for pitching in for Tim as he's getting us ready here for day 1 with DS Smith. With that, good morning, and good afternoon, everybody. I'm going to begin on Slide 3. I'm excited to share that today, DS Smith appeared before the court in the U.K. to get final approval, and we officially expect to close the DS Smith transaction at the end of the day tomorrow, U.S. time, Friday, January 31. As you know, last week, the competition authorities of the European Commission approved the proposed acquisition of DS Smith by International Paper with conditions. The EC identified minimal concerns about the acquisition's impact on competition in certain areas. To resolve those concerns, we have agreed to divest 5 box plants in Northern France, Northern Spain and Portugal within the next 6 months. We would have preferred to retain all facilities in the IP family, and we truly appreciate the contributions for the team and the team members of these 5 plants. We're committed to identifying suitable buyers who can offer a viable future for these teams. Each of these locations is attractive, and we expect significant interest from potential buyers. I'm looking forward to welcoming DS Smith to IP on Monday, February 3. Together with our customers, we're creating the global leader in sustainable packaging solutions, and we're focused on the attractive and growing markets in North America and EMEA. I'm excited about the potential to unlock value for our stakeholders. We'll do a deep dive on the path forward for DS Smith at our Investor Day in March. Now transitioning to Slide 4. We are building a performance-driven customer-centric culture at IP to fulfill our purpose, a culture that will enable us to create significant value for our employees, customers and shareholders. That work begins with a strong alignment around a very clear and compelling strategy and that strategy stems from our mission and our values of safety, ethics and excellence. Most importantly, our teams will put safety above all else. We will drive profitable market share growth by being the low-cost producer and the most reliable and innovative sustainable packaging provider in North America to EMEA. A disciplined 80/20 mindset will permeate everything we do. By focusing on the critical few, we are aligning resources, reducing complexity, removing costs and delighting customers. These efforts are all focused to deliver superior value for all of our stakeholders. I'm now moving to Slide 5. We're making progress and taking actions on our path to achieve $4 billion of EBITDA medium term. This does not include the DS Smith base earnings or synergies. Again, we're going to talk about those things in detail at our Investor Day in March. As I've shared in the past, roughly $1.2 billion of the improvement that we are targeting is going to come from cost out. This number is net of inflation. So the way to think about it is that we have to take out roughly $1.6 billion of cost. As we talked about on the third quarter call, we started to do the heavy lifting, so we're making the right choices to take cost out of the system. Those impacts will ramp up through the year with actions already announced and more to come. We've zeroed up the corporate organization, we're aligning resources to the businesses, and we're having a lean, effective and efficient corporate staff. As a result, we expect our costs will be reduced by $120 million annually. We have taken the difficult actions to close 5 box plants in our Global Cellulose Fibers mill in Georgetown, we estimate that these combined will remove roughly another $110 million of cost from our run rate. As I mentioned last quarter, our other -- there are 2 regions where we're doing 80/20 pilots. We're now calling these lighthouses. We have delivered 20% plus productivity gains, and we will scale that optimization method to another 22 box plants in 2025. As we look into 2025 and beyond, we'll continue to be laser-focused on improving reliability at our mills and optimizing our mill and box systems, so we deliver structural cost reduction. In 2024, our operating performance and lack of productivity cost us $350 million. Unlocking this performance will free resources, allow us to optimize our overall structure and drive profitable growth. We are also speeding up capital investment opportunities that we believe will deliver significant cost reduction. And to that extent, we have initiated a complete overhaul of our capital investment process to simplify and significantly reduce from -- time from idea to execution. If we turn to the commercial improvements, we expect these commercial improvements to contribute roughly $800 million to our $4 billion target. Our go-to-market value over volume reset is essentially complete. We expect the final unfavorable impact to volume to be behind us later this year. Volume has tracked to our plan for the past 3 quarters and since we started looking at January, and we have a clear pipeline forward. We have developed a new compensation plan for our sales force to better align incentives to strategy. This plan will also support our goal of attracting and retaining the best commercial talent in the industry. We continue to add new sales associates as we enhance our commercial capabilities and move to a customer-centric culture. This renewed focus on customer experience has already resulted in significant quality and on-time delivery improvements in our packaging business, which is validated by both internal and external data. This is true in general across the overall business and specifically at our 80/20 lighthouses. We also have an ambitious pipeline of capital projects to both facilitate the regional optimization of our box system and deliver profitable market share growth. And I'll share an example here on the coming slides. Before we move on, let me say that I'm proud of our team and the solid progress we're making. We have a lot of work to do. There's absolutely no doubt about that, but the fundamentals are in place for our performance-driven customer-centric culture and those things starting to show. We have the right strategy and execution road map. Now comes the hard part, and it will not be linear. We need to demonstrate the ability to execute with excellence. Our success and our destiny lie in our control. Our actions are aimed to drive transformational improvements at IP and create significant value for our shareholders. I'm now on to Slide 6. I'm excited to share we are investing in a greenfield state-of-the-art corrugated box facility in Waterloo, Iowa. This is a great example of the investments we're making as we continue with our ambitious plans to optimize our mill-to-box system and generate attractive returns. This world-class box plant is designed to deliver on our strategy, 20% lower cost, designed in product quality and just-in-time service. All of this is aligned to a geography and end markets where we are positioned to win. The facility will be strategically located close to some of our best customers, specifically in the protein segment, while being in a freight advantage distance from one of our mills. The plan is to start construction this year and targeting for a start-up in 2026. So again, it's a best-in-class facility designed specifically to delight our customers, achieve a low-cost position to drive profitable growth. In addition to Waterloo, we're also acquiring a bulk plant in West Monroe, Louisiana. This additional capacity and expanded capabilities will allow us to grow our specialty business in an attractive market. As you know, bulk is a business where we are differentiated and have a very good performance track record. We anticipate closing this deal tomorrow. So now let's turn to our full year performance. First, I'll share some highlights, and then I'll turn it over to Mark to walk you through the details. I'm now on Slide 8. Our full year results came in line with our outlook. Relative to prior year performance, higher pricing was more than offset by higher costs than expected volume losses from our commercial strategy, just as we expected. We have seen significant price improvements in our North American packaging business from our go-to-market execution and favorable price index moves. Volume came in lower, but very much in line with our expectations. And again, we're seeing that in January. This period-over-period volume declines from our packaging contract restructuring is playing out in line with our predictions, which is giving us good line of sight on when we will see an inflection point to profitable market share growth. Costs were higher due to employee incentive compensation and were impacted by reliability issues at some of our mills. As I shared before, we are laser-focused on improving reliability and taking cost out of the system. As we look to 2025, I want to note that we're not going to go into detail on the outlook for this year. As you may recall, while our combination with DS Smith remains pending, certain U.K. rules constrain our ability to provide a profit forecast. Even though we are looking forward to closing the transaction tomorrow, today, we are still subject to those rules, which limit what I can say. Our plan is to provide you with our outlook and a detailed road map at our Investor Day coming up in March. But at a high level, 2025 is expected to be a transformational year. During the first few months, we anticipate earnings will continue with the stabilization trend and then we expect our earnings to progressively ramp from a combination of the cost actions already announced, further improvements throughout the year, sequentially improving commercial wins and overall benefits of our 80/20 implementation. With that, I'm going to turn it over to Mark, who's going to provide more details on our fourth quarter performance and outlook.
Mark Nellessen : Thank you, Andy. So turning to our fourth quarter key financials on Slide 9. Operating earnings per share came in slightly better than the outlook we provided last quarter. Our EBITDA margin came in slightly better sequentially. And overall, we see stable to improving results on a sequential basis. Our free cash flow was impacted primarily by changes in working capital as well as sequentially higher capital spending and DS Smith-related transaction costs. We could turn to Slide 10, and I can provide more details about the fourth quarter as we walk through the sequential earnings bridges. Fourth quarter adjusted operating earnings per share was negative $0.02 as compared to $0.44 in the third quarter. As expected, accelerated depreciation expense was a significant impact in the fourth quarter due to previously announced facility closures accounting for $0.56 per share. Price and mix was higher by $0.12 per share, driven by the flow-through of prior price index movements and mix benefits in our packaging business. Volume was unfavorable by $0.08 per share due to 2 fewer shipping days in North America box as well as some volume trade-offs related to commercial contract restructuring actions. Deploying our commercial strategies across the portfolio continue to impact volumes as we closed out the year as we expected. Operations and costs was unfavorable by $0.11 per share sequentially. This is largely the impact of seasonally higher costs as well as a step down in insurance recovery related to the Ixtac box plant fire and some reliability events in our mill system across both businesses. Maintenance outages were higher by $6 million or $0.01 per share in the fourth quarter and input costs were favorable by $0.06 per share sequentially, mainly driven by lower cost for OCC and wood. And finally, corporate items favorably impacted earnings by $0.12 per share sequentially, primarily due to lower taxes. Turning to the segments and starting with the Industrial Packaging's fourth quarter results on Slide 11. Price and mix was higher by $63 million due to the realization of approximately $40 million of benefits from prior index movement along with additional benefits from our containerboard board export and open market sales. We saw a mix improvement in both North America and Europe. Volume was lower by $24 million sequentially due to 2 fewer shipping days in the fourth quarter. In addition, we made choices based on our box go-to-market strategy that negatively impacted our volume as expected, but this will allow us to improve our margins and mix over the long term. Operations and costs was $22 million unfavorable sequentially primarily due to the impact of seasonally higher costs, a step down in the Ixtac insurance proceeds, which we received $25 million in the third quarter to $12 million in the fourth quarter and some reliability events in our mill system. Planned maintenance outages were lower by $22 million sequentially and input costs were $20 million favorable, primarily due to lower OCC and wood costs. And accelerated depreciation decreased earnings by $9 million due to the 5 packaging facility closures in the fourth quarter. Moving on to fourth quarter results for Global Cellulose Fibers on Slide 12. Price and mix was sequentially lower by $13 million due to price index movement. Volume sequentially was lower by $8 million in the quarter due to the Georgetown mill closure in early December as well as a pull-forward of orders in the prior quarter as customers anticipated a potential port strike. Operations and costs was unfavorable sequentially by $23 million which includes unabsorbed fix costs from the Georgetown mill closure, some reliability issues and higher seasonal costs. Planned maintenance outages were higher in the fourth quarter by $28 million, and input costs were $4 million favorable, primarily driven by lower wood costs. And finally, accelerated depreciation decreased earnings by $222 million, mostly due to the Georgetown mill closure in the fourth quarter. Turning to Slide 13. Before we get into the details, I would remind everyone that accelerated depreciation is included in operating earnings and is called out for each business. In summary, adjusted earnings for our Industrial Packaging segment are expected to be higher sequentially by $52 million. This includes a non-repeat of accelerated D&A expense. Adjusted earnings for Global Cellulose Fibers are expected to be higher sequentially by approximately $220 million, and this also includes a non-repeat of accelerated depreciation expense in the prior quarter. Now let me give you a breakdown by business segment. I'll start with Industrial Packaging. We expect price and mix to decrease earnings by $5 million sequentially from lower export pricing to date and unfavorable seasonal mix impact. Volume is expected to increase earnings by $10 million due to 2 more shipping days primarily. We expect operations and costs to increase earnings by $30 million. This includes benefits from our box plant optimization as well as non-repeats related to incentive compensation and other items from the prior quarter. It also includes the unfavorable impact of wage inflation. We expect accelerated depreciation will increase earnings for the packaging business by approximately $11 million because of the expense related to the 5 packaging facility closures that occurred in the fourth quarter. Lower maintenance outage expense is expected to increase earnings by $6 million. And lastly, we expect input costs to remain flat overall with higher energy costs offsetting lower OCC prices. Switching to Global Cellulose Fibers, we expect price and mix to decrease earnings by approximately $10 million as a result of prior index movement. Volume is expected to be stable, and we expect operations and costs to increase earnings by approximately $35 million. This includes improved performance and reliability as well as non-repeats related to incentive compensation and other items from the prior quarter. We expect accelerated depreciation will increase earnings for the pulp business by approximately $222 million because of the expense related to the closure of Georgetown mill in the fourth quarter. Higher plant maintenance outage expense is expected to decrease earnings in the fourth quarter by approximately $26 million. And lastly, input costs are expected to be stable. With that, let me turn it back over to Andy.
Andrew Silvernail: Thanks, Mark. We'll now turn to Slide 14. I'm excited to remind everybody that we'll be hosting our Investor Day in New York on March 25 where we will provide an in-depth review of our strategy, business and financial objectives for the new IP. We'll share our progress on DS Smith integration and outlook, the detailed plan for North American packaging and how 80/20 deployment across the company will help drive profitable growth. Our goal is to provide a very detailed, clear and time-based path forward. With that, operator, let's now pause and take questions.
Operator: [Operator Instructions] And your first question comes from the line of Mark Weintraub with Seaport Research Partners.
Mark Weintraub: I appreciate in the comments you made it clear that the volumes in the fourth quarter were pretty much in line with what you had expected. Obviously, they were pretty big year-over-year declines. And I think that in the past, you've talked about that there would still be negative year-over-year for the -- maybe through the middle of next year and then things stabilize and potentially move positive in the second half. Is that still kind of a reasonable game plan?
Andrew Silvernail: Yes, Mark, absolutely. So we certainly don't like the reality of the results in the fourth quarter. It is exactly what we had expected. And so when I -- when you look at the volume drops off on year-over-year, it is -- when you net out kind of wins and losses, 100% of what we're seeing is the expected from the contract process that we've been going through in the last 18 months to 2 years. And so it's right on track. And I think importantly, right, as we look at January, January is right on track in terms of what we're seeing for day rates. And so what you should expect to see is that bottom of the third quarter and fourth quarter, it will step up, meaning a less year-over-year loss in the first quarter, less year-over-year loss again sequentially in the second quarter. And then as we get into the back half, when exactly we break that 0 point, I don't know if it's going to be exactly the third quarter or not, but it's somewhere in there. But in that second half, we expect it to crest these choices. So I'm going to knock on wood, but that feels good. The other thing I'd add to that, Mark, is if you look at the investments that we've been making on the box plant side for reliability, I think very importantly, that is now showing up in internal and external data. So if you look at the data from our on-time delivery metrics, our service metrics and then you also look at -- we do a third-party validated NPS, I also saw another third-party benchmark last week. We have clearly moved very significantly from a service perspective in the minds of our customer. And the reason that's important is we're now starting to quote pieces of business that we didn't have the opportunity to quote a year ago. And so we've got some pretty decent-sized chunks of business. Not much of it is baked into our expectations for the year, but we've got some pretty decent-sized chunks of contracts that are now rolling off where we think we're putting a very attractive value proposition. So we're moving from a very defensive posture relative to the commercial side of the business to slowly moving to an offensive posture. And I want to say slowly because we still have to finish digging out that hole, and we've got to win some of these businesses. But I like where we are relative to our plan. When you look into our sales pipeline, that pipeline and what's happening on a daily basis is now showing signs of congruity. And I like the fact that we're starting to quote some business that we didn't have the opportunity in the last year or two.
Mark Weintraub: Great. And maybe kind of following up along the lines of the response to the question. I think you also mentioned like a $350 million lack of productivity, reliability type of thing. Can you maybe provide more color on specifically what you meant by that? And do we get that back? And what are the actions that are being taken currently?
Andrew Silvernail: Yes. So Mark, actually, I think this is a linchpin, right? So going back to my days at Danaher, running a sub-plant -- sub-manufacturing plant, right? You're always looking for the bottlenecks to the key of your strategy or the key of your execution. And so it took me a little while to get in and understand kind of exactly what was going on, but I'll simplify in 2 ways. One is we've been living in a world of less capacity for too long. And because of that, and it makes you soft, it's kind of like an athlete who sits on the couch for a couple of years. It makes you soft. And so as we have started to push part of our operations. And when I say that, pushing them in terms of moving volume to assets that we need to have be A+. We're pushing that. And so -- and what that's showing is it's showing the mill capability. And we've got a few mills that we've got some serious work to do. And when you add that up, that's darn near a couple of hundred million dollars a year in potential, right? So you're having to keep way too much cost in your system because, frankly, if you go back and you do the root cause analysis, which we have, it comes back to 2 things. It comes back to underspending for a very long period of time. It's not a year or 2, right? It's underspending on basic reliability stuff in the mills. And so as you can imagine, right, your kind of -- your plan is constantly changing, the bogey is changing for those teams, and they're having to run roughshod. And the second thing, right, we are -- we have experienced and everybody in our industry and everybody in manufacturing is experiencing is a pretty significant changeover of people. And so as you -- as experience starts to change in those mills, and you combine those 2 things together, it can make it a less reliable day-to-day. And so our focus is very much on maintenance investment and reliability spend, capital and expense, and it is on rapid training for leaders who are new to a position. And so you really got a focus there. And the good part about that, right, is you can count this. And what I mean by that is you can see the amount of -- if you think of kind of mill performance as the benchmark of where you are in terms of your ability to absorb the overhead and produce, we can see this pretty tightly. And so making those investments, and that's a linchpin to the rest of our strategy of getting costs out of the system. The second part to it really comes around productivity. And what I mean by that is in any manufacturing world, the goal should be to offset your, what I'll call, internal productivity. So I don't mean input costs, right? I'm talking about the wage, maintenance, those pieces of normal inflation, you've got to drive to offset that. And in my experience, we've been able to do that in the companies that I've worked for. We're seeing it already in some of the very focused work that we're doing. I'll use the box plant lighthouses or now -- we called them pilots, we now call them lighthouses, as the example. But as you know, this is a very high contribution margin business. And so as you drive productivity, you can take significant cost out and/or as you move volume over a different set of assets, the contribution margins are just really high. That's something we haven't done. Again, that's when you think about keeping too much capacity that ends up as EDT, that's how it shows up. And so we believe that absolutely can go after that. You don't -- look, you're not going to get it overnight. But in the time frames that we're talking about in terms of both driving the day-to-day excellence of execution and then having the productivity flywheel moving. It's $300 million to $400 million. It's a lot of money. And so yes, we can get it back.
Operator: Your next question comes from the line of Phil Ng with Jefferies.
Phil Ng: Andy, appreciate all the great color. I thought the slide deck was pretty awesome, it had a lot of great color in terms of things that you guys have done already on the cost to commercial action side of things. You also gave us a look at what's still to come, more on the to-do list with items like mill and box system structural cost-out efforts, reducing organizational complexity and expanding the sales force. So appreciating 1Q is kind of a stabilization period. And you kind of pointed out earnings momentum, transformation 2025, so kind of help us think through how that could kind of layer through this year, some of these actions, whether it's all in the cost or commercial side, and think about the earnings momentum as the year progresses. You talked about the $300 million to $400 million that you -- was a drag. I mean, how quickly can we get some of that back, I guess?
Andrew Silvernail: Yes. So Phil, great question. I think as we think about this year playing out, that the cost stuff that we announced last quarter, as you can imagine, right, making that real through the fourth quarter of the year that then starts to layer in throughout the year. And so you should see that kind of sequentially ramp as people who are no longer going to be with the company, assets that have been closed. As you know, you don't just close an asset and all the costs go away, there's a tail to that. And so we have to move in through that tail. That gets better as the year goes on. And then we have an expectation that we're going to continue to drive cost aggressively as we go through the year. And you should expect us -- the thing that I would be looking for if I'm you is a quarterly drumbeat of actions, right? That's what you need to see and obviously, it needs to show up in the P&L and in the balance sheet and ultimately, cash flow. And so on the cost side, right, we've got a road map that we've laid out. We've had to be pretty selective about how we could talk about that with all of you because of the DS Smith process. That restraint comes off. And so at the Investor Day, the intention is to show a much more clear road map, obviously, being respectful of all of our stakeholders in the process. So you should expect to see that ramp. And then on the commercial side, really, if you look at what's baked in right now on the commercial side, is the pricing that we have today, right? We haven't adjusted for any future index changes. We have no idea, right, what's going to happen with that. So we don't have any expectation there. So it's the prices that we're going to market with today, plus if you kind of think through our expected pipeline. So there is no kind of major expectation of giant wins that's in our outlook for this year, so just to be clear. So the reality of that, and you guys know this as well as anybody, turnarounds take time and they're not linear. And so if you think of it, think of it as a run chart, right, as you go into one of our mills and you see process run charts all the time, right? The tolerances are wide right now. There's a lot of variation. And our job is to squeeze that variation in every way, right? We're trying to squeeze the variation in what causes kind of these wild changes to -- in parts of our business that, frankly, we don't think should be as volatile. We're making changes to those things and then you've got to execute. And what I said in my prepared remarks, this is where the hard work begins. I mean this is where you are in the muck, you have to be. These things happen at a box plant, at a mill, right? They don't happen in the ether. And so really getting to incredibly disciplined cause and effect where I'm pulling a certain lever, and that is going to take the cost out or it's going to win a customer. That's where we are. And so we certainly have a plan for how that ramps throughout the year. I'm very aware -- look, I've looked at hundreds of businesses and business plans over the years, and whenever you see an aggressive track like this, you have to discount it, right? You have to be smart about that. So we have to make consistent progress quarter-over-quarter. We need to exit this year substantially better than where we ran last year and where we ran this year. A couple of things that I see as really encouraging. So if you look at the North American packaging solutions business exclusively, and you look at where they're tracking relative to where Tom Hamic and team said they would be tracking on the commercial side, we feel really good, on the investments that we've made into the box plant business and the expected improvements on service improvements has absolutely shown up. And we have moved an entire standard deviation in performance and customer service performance in the last year. And that is a big deal. And so we've seen that. And we've also seen what that means to specific customers. I'm spending time with specific customers talking about their experience with us. We're now getting on site with customers and doing joint innovation sessions, but we're pushing -- we're starting to push those envelopes, more than we have in the past. But this is where, look, this is where it's a knife fight. At the end of the day, that's what this is. And we're in execution mode now.
Phil Ng: Okay. That's super helpful. I guess you gave us the road map today in terms of CapEx spend. It's great you're reinvesting in your growth products or box plants. You're stepping up maintenance and reliability and doing great things on the sales force front. Is this a level in terms of capital spend and maintenance operating spend that could be steady state from here? Or should we kind of accept that to step up the next few years as you kind of move forward? Or how should we think about these moving pieces?
Andrew Silvernail: Phil, if I had a magic wand, meaning I had the ability to spend it, meaning the performance of the business was where I wanted it to be and we had the capability to effectively spend the money, I would spend more, I would. And the reason we're targeting this $1.2 billion as it matches what we think the organization can actually effectively execute and where we are relative to the turnaround of the business. But look, I think as we perform, we will address aggressively -- we will invest aggressively over the next few years. And a -- it's really kind of a combination of things, Phil. One is we got to close the gap on a number of things that we've had. When you make decisions around nonstrategic assets, and you incrementally increase spending, right? So if you think of both those things happening at the same time, what happens is you radically increase the spending on the strategic assets. It's not a small change. It's -- you're not talking about 5% and 10% and 20%, you're talking about 20%, 30%, 40%, 50% in some areas. And we're going to have to do that for a few years because look, we dug a hole over a decade, we're not going to fill it in a quarter. And so we've got to make those choices and visual -- and maybe this will help folks, is a visual that I've been using is think of the demand of the packaging business over a cycle. So if you just think of it as what does demand really look like of a packaging business over a cycle. It's about 1%, 1.5% volume increase through a cycle. And that changes to kind of a plus 2 -- plus 2 points to that, so call it plus 3 to minus 1 or so, or minus 2 or so, somewhere in that range. That's kind of the range in any given year of actual consumer demand and when I say consumer, consumer and industrial demand of our product, but investment trends, profit trends historically have been highly volatile, right? And then people react to that, and they make the investment trends even more volatile. So if you think in a very simple way of what we're trying to do right here, is we're trying to cut off volatility, we're trying to sand the board on the top side and on the bottom side, right? Take volatility out. And when you look at GCF as an example, I love the GCF business, but it's volatile. It just -- it's more volatile than our core packaging business. There are other parts of our business that are relatively low profit that are pretty volatile. And as you start to move towards your core integrated packaging business, that volatility goes down. And then if you match your investment plan with what your real trend line looks like, you take out more volatility. When you chase the trend line with investments, you -- our box plant managers, our mill managers, they can't plan to be successful if they're reacting in quarters, they've got to have 18 months or so on the maintenance side or probably 3 years plus on the capital side. And that's got to be consistent, and we haven't allowed them to put them in a position to be successful. And I apologize for the length of this answer, but I can't tell you how passionate I am about this. We have to consistently invest in being great, we have a hole to fill. We're going to fill that hole, and we are going to be much more consistent in our capital investment. And everything flows with capital investment in this business. And what I mean by that, look, I spent 3 days last week, personally 3 days in a Kaizen event, looking at our capital investment process. And I -- look, no offense to anybody, it's a ludicrous process that we have right now. And we are radically changing it in terms of time, in terms of responsibility, in terms of who has authority and signing responsibility and we will dramatically change that time line. And then changing that time line, we take the handcuffs off of our people. And it's not just the dollars invested, right? It's because everybody is attached to that. You've got literally thousands of people who are chasing things that are unproductive and those people could be working with our customers on innovation. They could be working on productivity, right? And we need to take the handcuffs off our people and allow them to freaking run. And so -- I'm sorry, that one gets me worked up. So I'm pretty passionate about it.
Operator: Your next question comes from the line of Mike Roxland with Truist Securities.
Mike Roxland: Congrats on all the progress, and obviously -- and a congrats on the passion as well. And Mark, Jose, congrats on your new roles. Just wanted to quickly follow up on what was mentioned in terms of the regional portfolio. Coming up from a different angle, you mentioned in the press release, one of your objectives for 2025 is to balance capacity to your demand, so I'm wondering can you help us at least maybe -- just speaking generalities, if you can, what type of capacity moves you have in mind? Is it more of what you've mentioned in previous responses in terms of transferring production? Is it a matter of maybe closing mills that are higher cost in an efficient way, where -- require too much capital to fix at this point? Can you help us frame like what kind of capacity realignment you're in anticipating?
Andrew Silvernail: Yes. So Mike, I'm going to give you an answer that's only going to be partially satisfying because of the 2 things. One, we do have some minimal restrictions and also, I think as we talk about assets and locations, we need to do that the right way at the right time. So I have to be a little bit opaque around that. So I apologize if that's just the right thing to do. So I want to say -- let's just step back for a second and think of it as you think of our entire business and you think of the quality of earnings across the spectrum of that business, right, it's pretty wide from one market segment and one product to another market segment and another product. That -- those core earnings are -- there's a pretty wide band on that. When you look at the portion of our business that isn't as profitable or frankly, maybe negative, and then you align that against assets that really have pretty poor returns, when you put those 2 things together, that's -- those are tough chunks of things to look at, right? And when you put them together, there's no path to that being super successful. And so you've got to move your investment to the customers, the products and the assets and the people who are going to allow you to win. And that's the process that we've been going before. And when we talked about kind of a whole slew of that in the third quarter, that's what that was all about. As we move through this year, we will absolutely continue to move down that path. And we've got to do it in both the box system and in the mill system. And we just kind of think about the ability to do what I would -- just kind of got fired up about a few moments ago, to do that, you can't peanut butter spread investments, right? You have to move investment. It's 80/20 thinking at its most foundational, which is you've got to move your resources, your money, your people, your energy towards those things where you can have a differentiated position. And the cool part is if you look at our box network in the United States and throughout North America, and you look at where we are positioned across the country and then you compare that to the competitive set, we feel really good about that. Now we know we have to change that because we have places that frankly have too much capacity and there's too much to -- it's got a crazy marketplace, right? And you got too much there, and you got places where you don't have enough. And so in the places where you don't have enough like Waterloo, Iowa, we're going to be super aggressive. So greenfields, brownfields, the lighthouses that we're talking about, the demand is there, and we can't satisfy the demand because we don't have enough capacity. And in some other places where it's not, we need to first focus in on niches of -- subniches of markets where we're really good, and we can win, and we can win in that subniche and have a great sustainable competitive position in that subniche. And then in places where, frankly, it doesn't make economic sense, we need to make other decisions. On the mill side, when you think about the mills, I grew up and as you guys know, I grew up in a mill town. And so these conversations have been in my blood since I was 8 years old. And you have to invest, right? You have to invest on a consistent basis in mills. And of course, the older they get, you have to make sure you keep them primed. And for those of -- anyone who is interested in cars, look, there are 40- and 50-year-old cars that run great, but they're not as competitive as the car you're going to buy off the lot tomorrow. And so you're constantly looking at where that is, when do I continue to invest and when do I not? And you have to be able to do that in a very clear mature way because all of our stakeholders require them, right? So if you think about our people, our customers and our shareholders as the 3 principal stakeholders, I'm a big believer that none of them can win over the others in any long period of time before it damages all of them. And so to make those investments in the business, it absolutely makes our business competitive. It creates very stable, attractive jobs for our people. We win with our customers because we offer them the kind of service and reliability and innovation they want at a fair price. We take the cost out of the system, which gives us the margin to reinvest back. And ultimately, right, that turns into profitable growth for our owners. And so that highly dependent system of stakeholders is what we're driving in.
Mike Roxland: Got it. And just one quick follow-up. Just there are obviously, a lot of changes in a very short period of time that -- it's interesting for a company that has had a really entrenched corporate culture. Just trying to get a sense from you whether is there's been any pushback, any resistance? And what are you may do to sort of like grease the wheel to encourage bias?
Andrew Silvernail: Yes, great question. Look, I have been thoroughly impressed with how people have grabbed on to the change. There was an enormous pent-up demand in this company for change. And look, the people are great. To be candid, right, when I was considering this role, one of the thoughts I had to myself is, wow, how good can the people be with the performance we've had, and I have been absolutely delighted. We have smart, capable, driven people who want to win. That being said, right, in a business like ours, there are a handful of very, very big decisions that get made that either enable or disable the organization to win, capital is a huge one, right? When you are spreading your capital thin, you are basically telling your people to play whack-a-mole, they don't have another choice. So when you make -- when you don't make the courageous decisions, that's what happens. When you have capital decisions that take an ungodly long period of time, it ties up thousands of people in non-value-added processes. If you grab any one of our mill managers and you were to ask her or him, what does it take to win? They know, they know. And we have, in many ways, handcuffed them with decisions on capital investment, with decisions that are very bureaucratic and frankly, not setting and upholding very high expectations, right? The reality Is, is -- one of the things that I'm trying to do with this call as an example, is I believe there ought to be perfect alignment between our owners, our Board, the management team and everybody who works in this company. There should be no daylight between the expectations of action and the expectations of performance between anybody. And look, a lot of people complain about having to do these kind of things and do quarterly calls. I think they're great. I grew up getting a report card, you get a report card and you got to go home, and you got to talk about why you got an A or why you got a D? And there's no hiding. And I love it. I grew up playing sports, scoreboards are great, right? You are what the scoreboard says you are. There is no confusion in this organization about what the scoreboard says we have been. No confusion at all. And our goal is to be one heck of a lot better.
Operator: Our next question comes from the line of Mat McKellar from RBC Capital Markets.
Mat McKellar: I'd like to start asking about the Waterloo greenfield box plant, are you able to provide any additional color on what kind of CapEx you're anticipating for that plant? And then how you would think about an attractive return for this type of project, please?
Andrew Silvernail: Yes. So we're not -- we haven't disclosed anything today. We'll put a lot more color to that. This will be an item that we'll talk about certainly at the Investor Day. Obviously, it's a very large investment. It's by far the largest box plant investment we have ever made. And my expectation is this is going to be something that we should be driving cash-on-cash returns of about 20%, right? That's the kind of thing. And I mean the total cost, not just on the investment purely for that thing. But if you look at through the value chain from an integrated perspective, that's the kind of value that we should be able to add from a kind of investment like this. And what I love about this investment. And we also see, as we've got some more that we're looking at that are like this, obviously, not a ton of them, but some more that makes sense, and we're looking at some brownfields. And if you look at the pilots. What I like about these kind of things is they bring all the elements of our strategy together, right? So in our world, we absolutely -- our goal is not to be the low-priced player, but our goal absolutely is to be the low-cost player. And we think that we have the scale and the footprint that gives us license to do that, but we have to make different choices. And a plant like Waterloo dramatically changes that. If you look at our 2 lighthouses that we have, the 2 regional lighthouses, the gains that we're getting and we're seeing encourage a heck out of us and that's why we're going to roll it out to 22 more box plants here in 2025 and then we'll keep going, right? The goal is over the next few years, is to a completely reconfigure our box plant network. And look, this is a harsh thing to say, but for a long time, we thought of our box plants as kind of a dumping ground for paper. That's kind of how we treated it. And the bottom line is it is the front end of our business. It's more like a retail shop than other things, right, where you want to be super -- great service levels, very reactive to customers and make sure that we're employing our 80/20 mindset as close to the customers as possible. And so we're super excited about Waterloo. We'll give you more detail here at the Investor Day about it. And we're also excited about the bulk plant, right? That's another example of a different type of strategic thought that's unlocking one of the pieces of great value that we see in the company, which is in specialty. And we're excited about that acquisition. It fits us well. It's small, but it enables us in a great way, and it also helps us move fast which is a great enabler.
Mat McKellar: That's helpful. If I could just follow up with one more on the box plants. As you sort of scale your approach from your first 2 lighthouses to the incremental 22 in 2025, are you anticipating pretty similar improvements in productivity? Does that change at all versus the first -- what you achieved at the first couple? And then does that change at all again as you kind of target the next batch in '26 and beyond?
Andrew Silvernail: I do expect the same kind of results, right? And I think it's important to note that the results that we're seeing are really -- are not being driven by dramatic capital investment, right? The results we're getting in these 2 places so far are really around what I think of as the volume mix matrix, right? So as you think about complexity, the key to what we're doing is isolating complexity, right? So we're putting a lot of complexity in a few box plants where they become experts at that complex product customer configuration. And then other places where you can almost run lights out, it's really -- it's those 2 -- it's that combination that we're getting the kind of productivity that we're seeing. When you enable it with CapEx, there's more to come. That being said, the gains will not be -- again, I use the term linear, meaning we're not going to get the exact same kind of gains everywhere. There will be places that we get more, and you want to enable it with more CapEx. And there will be places where you won't get the 20% or 30% because you don't have the same configuration in a geography, right? So I think we're going to get really substantial productivity improvements. We also -- I want to -- I'd like to roll this out lighting speed, but you got to be mindful of it, right? You can't just throw ideas at folks, you've got to go hand-in-hand with them, make the changes, right? So you have to make the volume mix changes. You've got to make those changes where you want to consolidate a box plant and then have the remaining box plants take that on and people who want to move over to those things, to the box plants, can. You want to be able to do that. You want to install daily management and make sure that, that's working. And before you kind of ride off to the sunset to another thing. So it's kind of the old saying, go slow, you're in a hurry because you want it to stick.
Operator: Your next question comes from the line of Charlie Muir-Sands with BNP Paribas.
Charlie Muir-Sands: Just sticking with the rollout of the lighthouse strategy for a minute. So can I just clarify, that is the one that you think can unlock around $300 million to $400 million of cost [indiscernible] productivity?
Andrew Silvernail: No. I think what -- that was not the main focus of that. That was really around -- I think you've got, call it, $175 million to $200 million of just, I'm going to call it, mill reliability, right? So that's just -- that's very much in the mills. And then the balance is productivity. A lot in the mills, but also in the box plants. And what I'm talking about there, Charlie, is my experience has been as you get a productivity engine humming to be able to offset things like wage inflation benefits and other, what I'll call it, internal inflation, so not your input cost. We don't do that well, right? And if you look at our financials and you go back over 5 or 10 years, and you actually look at the destruction of value, the 2 big linchpins you see are, I'm going to call it, reliability that showed up at the customer, which then had become a headwind from a volume perspective, but also it ends up driving a lot of cost. So I looked at some analytics over the last couple of weeks, if you look in our mill system as an example, and you follow long-term maintenance spend relative to replacement asset value. So if you just kind of follow that, what you see is a building gap over time. But that doesn't mean that your costs went down because what ends up happening is your costs shift from being capital to being expense. And so if you actually stack capital and expense together, we're actually spending more combined today than we were 5 or 10 years ago because of that choice. And that kind of comes down to that car analogy. If I don't change my oil, I'm going to eventually going to lose my engine and that -- losing your engine costs a hell of a lot more than changing the oil and that's kind of what we run into. And so now we're doing some pretty rapid engine rebuilds. That's the way to think about it. But the productivity engine is something that's going to be going all the time, right? And if you think of just the math on it, you're talking about 2% to 3% per year is what you got to get. You got to get 2% to 3% per year, and that will offset your internal inflation. And that -- I know in a world where people talk about, I need 5% year-over-year. Well, you guys know the truth. Very few people get 5% year-over-year. What you really do is you liberate capacity, right? Yes, I can shut nonstrategic assets, you get a benefit from that. But then you liberate capacity. And in our world, when you liberate capacity and you get volume growth of any kind, it flows through a ridiculously high levels. And so the early stages of this are actually the costs coming out. And as you think of this kind of a couple of years from now, what you want is that engine of productivity that our mill managers, our box plant leaders are thinking about that and they're thinking of productivity on a 2- to 3-year rolling cycle, not I'm showing up in December, and I've got a budget for next year, I got to figure it out. Those are very different approaches.
Charlie Muir-Sands: So the rollout of the lighthouse strategy doesn't necessarily deliver immediate P&L benefits and tailwinds [indiscernible] volumes. You actually absorb that extra capacity, or you can put a dollar value against that as well.
Andrew Silvernail: Yes. If you look at what we've done in the 2 lighthouse regions that we've been in, we have closed 2 box plants, right? So we've actually closed 2 box plants and consolidated the volume into the other lighthouses while taking on-time delivery and service levels meaningfully up. So when you look at the actual, it's real productivity, it's real dollars, right? And so you get it first because you're taking out the overhead of the stranded capacity. And then you're also driving continuous improvement as you bring that volume in. And so it kind of starts off with a big bang. If you think of us -- think of IP in a microcosm in one of these regions, that's exactly what we're talking about, right? You're taking out cost that's effectively stranded cost, unneeded cost, you're matching the volume mix matrix correctly. So those businesses are coming more effective. And then over time, you're driving that drumbeat of productivity, right? So it's a big bolus that we have to get in the box plant side and in the mill side and then you have to build the muscle of ongoing productivity going forward.
Charlie Muir-Sands: Right. And sorry, just one more question. I think historically, you've guided annual corporate expense. I know that there has been a big restructuring of cost savings, you've devolved a lot of the staff headcount to the segments, but I just wondered what we should understand as being the figure now for 2025.
Andrew Silvernail: Yes. So I don't think we're calling it out very specifically. But the way you should think about it is as we go into 2025, you're going to see the reallocated -- cost reallocations as appropriate back to the businesses of where they actually sit. So you'll see some ups and downs. So as an example, you'll see the North American packaging business was not probably getting enough of the load, where more of it was being pushed to other GCF in our EMEA business and we'll get that balance right. But in total, right, the central costs are going down precipitously, right? They're going to go down by $120 million from the actions that we've outlined.
Operator: Our final question today comes from the line of Gabe Hajde with Wells Fargo Securities.
Gabe Hajde: I want to try to put some numbers to what we're talking about and go back to the presentation that you gave us on the Q2 call. I think in that presentation, you indicated that you underspent sort of a peer group by 1.5% on CapEx and maintenance, I think it was $0.40 per 1,000 square feet. But...
Andrew Silvernail: Yes, don't have it in front of me, but that sounds right, yes.
Gabe Hajde: Okay. And you're talking a lot about mill reliability and some underinvestment over time. And I sort of -- I like your analogy. So I'm thinking about running a 0.25 mile -- or 1-mile race and I'm a 0.25 mile behind, it's really tough to catch up. So the number, I think, that we saw thrown out there was $260 million for this new investment from local government agencies, et cetera, so Waterloo that is. So this year, you're going to spend about another $1 billion, maybe a little bit less. When should we expect that IP starts to catch up that $1.2 billion of underspend? And do you feel like, as you look across these metrics that you're talking about that you're falling further behind?
Andrew Silvernail: No, I don't think we're falling further behind, right, because of the choices that we're making on reallocation of where that other money is going is a big change, right? So if you just took a peanut butter spread, I would agree with what I think, I'm going to call it, your concern, right, which is if you were just going to leave it the same, yes, that would be 100% to true, right? I just did Waterloo, and I did everything the way I did it in the past, that would be true. But you can see from the actions we've already announced that is not the intention and you can expect to see us make some other choices here readily around that. And so as we think about that application, so you got to think of it as you're going to move your investment towards your strategic assets, that's already started. And that's a good-sized number. So the total time frame to make up the whole, I think, is about 3 years to make up the whole. That's -- and look, again, I'd do it faster, but I don't think we could spend it faster effectively, right? And if you just look at lead times in terms of equipment and whatnot, I think it's a 3-year march. That's my opinion. Mark, any thoughts there?
Mark Nellessen: I would agree with that.
Andrew Silvernail: Yes, yes.
Gabe Hajde: I appreciate that. I mean it's sometimes like pushing on a string, it's you now have the resources to enable it. Understood. Okay, maybe more...
Andrew Silvernail: I think it's -- before you go, what's really important, though, right, is this dynamic resource allocation is really, really important, right, moving it away from places that don't deserve it, that don't make money, that you're not going to win in, to places where that is true, right? They do deserve it, you can win there. And the difference in returns on capital are gigantic in those choices. And so if you think of a bell curve of ROIC for these investments, right? Oftentimes, people think about things like safety investment or maintenance investment as on the left-hand side, meaning not very attractive, right? And I look at it completely the opposite. They're on the far right-hand side of that. They are everything. And so you have to have stability before you can have improvement. And so, so much of the work that we did last year, and we're still doing today is around stability, and then it gives you a chance to drive improvement.
Gabe Hajde: Got it. I want to be respectful of everyone's time. But the last one, you talked about report cards, scorecards. Near term, just to be clear, Mark, it wasn't in the Q1 Industrial Packaging view, you are not including any price as it relates to the January increases because it was not reflected in RISI or how should we think about that?
Andrew Silvernail: No, we are not including that. Thank you very much. Well, thank you, everybody. Appreciate your time today. Appreciate your interest in IP. I want to thank the teams for just a herculean effort that they are putting in and the commitment that people are showing to grabbing on to doing these tough things, right? Doing hard things is what we have to do. That should be our motto, do hard things. And that's what the team is doing. So I'm very proud of how we're tackling that. And I appreciate your interest. So I look forward to seeing you on March 25, at the Investor Day and laying out a lot more detail. So take care, everybody.
Operator: Once again, we'd like to thank you for participating in International Paper's Fourth Quarter 2024 Earnings Call. You may now disconnect.